Operator: Good afternoon. My name is Latif, and I will be your conference facilitator. At this time, I would like to welcome everyone to the Intuit Second Quarter Fiscal 2011 Conference Call. [Operator Instructions] With that, I'll now turn the call over to Matt Rhodes, Intuit's Director of Investor Relations. Mr. Rhodes?
Matthew Rhodes: Thanks very much, Latif. Good afternoon, and welcome to Intuit's 2nd Quarter 2011 Conference Call. I'm here with Brad Smith, our President and CEO; Neil Williams, our CFO; and Scott Cook, our founder. Before we get started, I'd like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit's results to differ materially from our expectations. You could learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2010 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit's website at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in this report are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP numbers in today's press release. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I'll turn the call over to Brad Smith.
Brad Smith: Thanks, Matt. Thanks to all of you for joining us today. We just reported second quarter revenue of $878 million, up 5% from last year. These results reflect the shift of about $60 million in tax revenue from our second fiscal quarter into our third quarter. Now you may recall that the IRS announced it would not be accepting certain e-filed returns until mid-February. As a result, we've seen some taxpayers delay the filing of their tax returns. Earlier in the season, we had estimated the shift to be between $40 million and $60 million, and we now estimate the shift to be near the high end of that range. Adjusted for the shift, we had a very good quarter. Now it’s clear the IRS delay has made the start of the tax season more complicated than normal, so let me try to sort through the noise upfront and put what is happening into perspective. All of the data that we monitor indicates that the tax filing season has simply gotten off to a slower start regardless of the tax preparation method. However, our four major assumptions about the overall tax season remain unchanged: First, we haven't seen anything that leads us to change our outlook on the total number of tax returns that will be filed with the IRS this tax season, which we estimate will be approximately 140 million tax returns. Second, we expect to see the multi-year shift in consumer preference continue towards the digital do-it-yourself tax software category. Third, internal and external data indicate that we are executing well and gaining share in terms of the competition season to date. And fourth, we continue to strengthen our execution in driving improved revenue per tax filer. Now what the data also suggests is that we're in for a condensed tax season as more people file later. The press release we issued today confirms this trend in our own results. After a slow start, TurboTax unit growth has accelerated meaningfully since February 1. As you can see from the season-to-date tax release, units are up 1% through February 12 versus the comparable period a year ago. But drilling a little deeper into these results, you'll see momentum has picked up considerably since February 1, with total units growing 11% and online units growing 16% year-over-year for the period of February 1 through the 12. This recent acceleration confirms our assumptions on the delayed start and has us on track to deliver the results we've guided for the full season. We'll have more insight into how the season is progressing when we update our units in March. Now while there's a lot of energy around tax results this quarter, it's important to focus on the rest of the company's performance, and in particular our Small Business results. Small Business is on a roll. It was a big contributor again this quarter, posting 15% revenue growth. Within Small Business, Financial Management Solutions had an excellent quarter, with 21% growth, and our Employee Management Solutions grew 11%, all organically. We're performing extremely well in Small Business, and we're confident that this momentum will continue. Turning to our overall business outlook, we're reaffirming our revenue and our operating income guidance for the year. This means we still expect fiscal year revenue growth of 8% to 11% and non-GAAP operating income growth of 11% to 14%. In addition, the R&D tax credit was retroactively reinstated in December. This lowers our effective tax rate and allows us to raise our fiscal year '11 guidance for non-GAAP EPS growth to 14% to 18%. Our reaffirmation of our full year revenue guidance and the expression of confidence that you're hearing from me is directly attributable to the momentum that we're building behind executing our three-point plan which, as you may recall, is first, to drive growth in our core businesses; second, to build adjacent businesses and enter new geographies; and third, to accelerate Intuit's transition to Connected Services. Now here are some of the highlights that demonstrate how we're performing in each area. First, a look at what's driving growth in our core businesses. In Small Business, the Online and Enterprise versions of QuickBooks continue to grow faster than Desktop. It's driving higher revenue per customer and stable recurring revenue streams. And as expected, our share at retail bounced back to the low 90s this quarter, thanks to solid execution across the board. In Payroll, we're continuing to improve customer retention, and we're driving higher revenue per customer as more customers move to Online and Enhanced Payroll services as well as select additional fee-based services such as Direct Deposit. And while I've already touched on the tax results, let me reinforce that about 140 million tax filers will be expected to file taxes before April 18. We continue to benefit from the ongoing shift in consumer preference towards digital tax services, and we're looking forward to another good season. Now the second part of our strategy is building adjacent businesses and entering new geographies. And as you know, these are longer-term opportunities where we expect to add one to two points of growth over the next three years. A couple of items to note in the adjacent businesses and the new geographies through the second quarter. During this past quarter, Intuit Health received certification for timely access of electronic health records. What this means is that health providers using our solution qualify for meaningful use and gain access to government funding. In our Global business division, our initial product launches in India are showing traction. Although it's very early in the game from a revenue standpoint, Intuit Money Manager has added tens of thousands of customers over the past four weeks through our partnership with ICICI. The third part of our strategy is to continue our acceleration to Connected Services. Across the board, our Software-as-a-Service offerings continue to build momentum. One example is QuickBooks Online, which grew subscribers 52% year-over-year, the fifth consecutive quarter of accelerating growth in its product line. Another example is Intuit Websites, which grew subscribers 32% year-over-year. We're also strengthening our position in the increasingly important mobile space. We're gaining traction in mobile payments with our GoPayment offering, which recently introduced a free credit card swiper and a no monthly fee plan for low-volume businesses. This new offering has tripled the number of new customers signing up for GoPayment on a daily basis. And in the tax arena, we launched SnapTax nationwide this tax season, which allows iPhone and Android mobile filers with simple returns to prepare and file their taxes from start to finish right on their phone. Feedback has been very positive, with 4.5 out of five stars from users in the Apple App Store. So as you can see, we're growing our core businesses while continuing to invest in products that will drive our future growth. I am really proud of the dedication and the execution of all of our teams here at Intuit, but now I'd like to turn it over to Neil to talk about the financial highlights and our guidance in a little more detail.
R. Williams: Thanks, Brad. Let's start with overall company results. Our financial results included revenue of $878 million, up 5%, non-GAAP operating income of $164 million and GAAP operating income of $111 million, Non-GAAP diluted net income of $0.32 per share and GAAP diluted net income of $0.23 per share. As we've mentioned, we estimate about $60 million in revenue shifted from our fiscal second quarter to the third quarter, primarily as result of the IRS announcement regarding the February date for accepting certain returns. Our investment and spending plans did not change as a result of the IRS announcement, so our operating income was reduced by a similar amount. The reinstatement of the R&D tax credit also contributed about $0.01 to EPS in the second quarter. This was not included in our previous guidance. As we'll discuss later, we're increasing our EPS guidance for the full year by $0.05 to reflect the impact of the credit. Turning to the business segments. Total Small Business Group revenue grew 15% for the quarter. In Financial Management Solutions, revenue grew 21% for the quarter, driven by strong growth in QuickBooks Desktop, Online and Enterprise revenue. Unit comparisons are difficult, because last year's Q2 included 20 million registered users of free Simple Start, which we no longer offer, but even with the free Simple Start discontinuation, retail unit share is the same as last year. We're increasing revenue per customer, as QuickBooks Online and QuickBooks Enterprise continue to grow customers at a fast pace. QuickBooks Online is also doing a great job of attracting new customers. More than 70% of new subscribers in the second quarter were new to the Intuit franchise. Employee Management Solutions revenue grew 11% in the second quarter, led by growth in Online and Enhanced Payroll subscribers. The total number of Payroll customers was in line with our expectations, holding steady with the same period last year. Our Payroll team has exciting plans to drive customer acquisition, grow revenue per customer and improve retention. We are also well-positioned to grow in this area as the economic environment for small businesses continues to improve. Our Small Business Employment Index has shown encouraging signs for six consecutive quarters. Payments Solutions revenue grew 7% in the second quarter, with merchants up 14% and volume per merchant up 1%. This was the second quarter in the last 10 where we've seen a positive change in sales volume per merchant. Our revenue growth indicates that we didn't reflect all the card network pricing changes effectively in our pricing to merchants this year. We've isolated this issue and we're evaluating our opportunities to adjust our fees while preserving the value proposition our customers expect from Intuit. We're focused on driving customer adoption, better revenue growth and improved profitability in the Payments business. Our Consumer Tax group revenue declined 6% from last year. Brad has already covered our perspective on this season, and there's still a lot of game to be played. We're focused on execution for the remainder of this tax season. Accounting Professionals segment revenue declined by 2% in the second quarter. Our revenue in this segment is less sensitive to the timing of tax filings, so the impact of the change in acceptance by the IRS is modest. Renewal rates remain strong in this category, and we're confident in our full year guidance for this segment. Financial Services revenue grew 3% in the second quarter. Adjusted for the sale of the lending business in the fourth quarter of fiscal year '10 and a non-recurring revenue item that impacted fiscal year '10, core revenue growth would have been approximately 7% year-over-year. Internet Banking users increased by 10% and Bill Pay users increased by 23% versus Q2 last year. We have confidence in our ability to drive double-digit organic growth in this business. So how do we get there? We need to grow the core services, drive adoption and further enhance the banking experience by integrating innovative new capabilities. For example, we've seen early success adding financial management, tax features and, more recently, mobile offerings. Our mobile offerings are unique in that they offer users the convenience of three mobile banking platforms: text message, web browser and the downloadable smartphone applications, fully integrated with Internet Banking. We're currently contracted to provide mobile solutions to nearly 300 financial institutions, and the number is growing. We also have mobile business banking solutions coming soon. We look forward to keeping you apprised of our progress in Financial Services through the second half of our fiscal year. Our Other Businesses segment posted 5% revenue growth in the second quarter. Excluding a positive currency impact in acquisitions, Other Businesses revenue was roughly flat year-over-year for the quarter and up about 5% for the first six months of fiscal year 2011. Turning to the balance sheet. We continue to generate strong cash flows in line with our operating income and maintain a strong balance sheet. Over the long term, we expect double-digit organic revenue growth, and we expect to grow expenses slower than revenue. Our target is to carry $500 million to $750 million of cash in our balance sheet net of total debt. This cash balance will vary up or down during the year, depending on seasonality and expected cash flow needs. We always seek to deploy the cash we generate to the highest-yield opportunities, and we target risk-adjusted returns of greater than 15%. We evaluate the investment opportunities within our capital allocation framework. We first look internally for growth investments, which would include R&D, marketing and infrastructure. We then consider strategic acquisitions and partnerships. Beyond that, we'll return cash to shareholders, typically in the form of a share repurchase. We repurchased $530 million worth of our common stock in the second quarter, bringing repurchases to a total of $860 million for the first two quarters of the fiscal year. From fiscal 2001 through the end of the second quarter, we've repurchased nearly 250 million shares at an average price of $27 per share, returning more than 100% of operating cash flow to shareholders over this period. We've repurchased nearly double the amount of shares issued for option exercises over that same time period. At the end of the second quarter, we had $1.1 billion remaining on our current share repurchase authorization. Our capital allocation process is working, and we seek to continuously optimize our investment. Our return on invested capital increased more than 100 basis points in fiscal year 2010, and we're on track to improve by another 300 basis points this year. As Brad mentioned, we're reiterating our full year guidance for revenue and operating income and raising our EPS guidance to reflect the reinstatement of the R&D tax credit. For fiscal year 2011, we expect revenue growth of 8% to 11%; GAAP operating income growth of 14% to 18%; GAAP diluted EPS growth of 9% to 13%, and note that the GAAP EPS growth rates are seven points higher when the gain from the sale of discontinued operations is excluded from the FY '10 GAAP results; non-GAAP operating income growth of 11% to 14%; and non-GAAP diluted EPS growth of 14% to 18%. For the third quarter, we expect revenue of $1.76 billion to $1.83 billion, growth of 10% to 14%; GAAP operating income of $1 billion to $1.05 billion, growth of 13% to 18%; GAAP diluted EPS of $2.10 to $2.18, growth of 18% to 22%; non-GAAP operating income of $1.05 billion to $1.1 billion for growth of 12% to 17%; and non-GAAP diluted EPS of $2.22 to $2.30 for growth of 17% to 22%. And with that, I will turn the call back over to Brad.
Brad Smith: Thank you, Neil. This afternoon, we've put a lot of energy into explaining this tax season, because we know you're focused on it and quite frankly, there's a lot of moving parts this year. At the risk of being redundant, I'll reinforce: it's not if they will file but when they will file. And we still like our position, our momentum and our game plan a lot. We have momentum in all of our core businesses, and across the company, we're benefiting from the secular tailwinds towards more digital Connected Services. We have leading Software-as-a-Service as well as increasingly mobile solutions to capitalize on these tailwinds, and they're generating growing, reliable revenue streams. We also have interesting adjacent opportunities in Global and Healthcare, which provide lots of headroom in large and growing markets. If we execute well in these areas, we believe that we can add several points of growth over the next few years. Again, we're on track for our full year guidance. We're not getting distracted by quarterly shifts. We have a proven strategy that is delivering in the short term while building the foundation for long-term business results and increasing shareholder value. I want to thank our employees once again for another strong quarter. And with that, let's open it up to you for your questions.
Operator: [Operator Instructions] Our first question comes from Heather Bellini of ISI Group.
Brian Bedell - ISI Group Inc.: This is Brian Bedell on for Heather Bellini. Just a couple of quick questions about tax. It looks like, for the quarter, your total units were up 5%, but revenues were down 5%. Is that just a comp effect of more complicated and thus higher-price SKU returns needing to file later in the season? And then also taking the $60 million shift and assuming that's a touch more than 1 million units, normalizing, adding that back to your season-to-date numbers would imply that 11% growth year-on-year. Is that a correct way to think about the situation?
Brad Smith: Neil, do you want to take the first part of the question, and I'll take the second?
R. Williams: As Brad mentioned on the call, we really saw the number of returns accelerate significantly in the latter part of February, the first two weeks. So what you're seeing there, reported for as January 31, is what we reflected, where the number of returns filed was less than we expected and the revenue's down from the last period. But as Brad also mentioned, and you can see in the release today, returns through the 12 days in February and for the period-to-date are coming back very strong, very much in line with what we expected for the full season and for the guidance that we gave.
Brad Smith: Yes, Brian, on the second part of your question, trying to extrapolate out from what we've reported and figure out where we might end up for the year, we're feeling solid about our guidance we've provided for the full season, which is 10% to 13%. I'll also give you a worst-case scenario. If tax filings were flat with the IRS year-over-year, if we did not gain any share and the category did not grow at all and we only saw a modest increase in revenue per tax filer, we'll still be in the guidance range. We clearly aren't seeing those things happen right now. We actually are seeing category growth. I mentioned earlier that we -- you seeing the share in retail through NPD. And we have our own internal data that tells us how we're doing online, which is also positive. And so our guidance of 10% to 13% remains our outlook for the season.
Operator: Our next question comes from Philip Rueppel of Wells Fargo Securities.
Philip Rueppel: Just continuing on the tax issue or arena, do you still expect acceleration in growth as we go forward? You mentioned the first two weeks of February just at 11%. To get to your number, you would have to expect that. And then, second of all, just on the free file decline. Is there anything to read into that? Those, I would think, would be normally early filers. Is that just a product of where we are with the regulations?
Brad Smith: On the first part, yes, we are continuing to see the momentum build. So we see what's happening in the market now and what we have in place for the balance of the season, leading us to the outcome we talked about. On the second piece, on the Free File Alliance, quite frankly, there's some confusion in the market. The messaging around when you could file your taxes, who should wait, who could go ahead and file, has got quite a few people confused. We're hearing that through our own customer calls and our own survey research. And so what you see in the Free File Alliance, I think, is just indicative of confusion. I wouldn't read too much into that. I think at the end of the season, everything will net out, and I think things will become much more clear on April 18.
Operator: Our next question comes from Bryan Keane of Crédit Suisse.
Bryan Keane - Crédit Suisse AG: Just a question of -- to clarify on the tax. Does the 1% growth, does that include people who couldn't file because of the IRS delays? And I know they couldn't file until February 14.
Brad Smith: Yes, Brian, it does. The 1% growth that we reported included the returns that we had queued up and saved for the IRS, so when they were ready to accept, we could send them. And as we talked during that February 1 to February 12, we've seen that number accelerate tremendously. And so it does include those tax filers that had queued up.
Bryan Keane - Crédit Suisse AG: And how fast do you expect the Software Online category to grow this year?
Brad Smith: Our expectations are consistent with what we've seen over the last decade, which is mid-single-digits has been Software category growth overall.
Bryan Keane - Crédit Suisse AG: And you do expect to take share in order to hit your numbers, or you don't need to take share to hit your numbers? I just want to clarify that point you made, Brad.
Brad Smith: Our current results in the market are suggesting that we are taking share. Our ability to actually land within the guidance range does not require us to take share, but we never start a year with an assumption of staying flat. We start a year with taking share, and that's what we're aiming to do.
Bryan Keane - Crédit Suisse AG: And you're able to check the online share through what data sources?
Brad Smith: We have our own survey results as well as some external third parties that we use. And we corroborate that data, and then we'll match that up with any sort of public announcements that come out from competition later, just to make sure that we're in the same zip code.
Bryan Keane - Crédit Suisse AG: Yes, I think H&R is next week, so we'll check with that. And then just on the Small Business. Obviously the QuickBooks growth was impressive at 21%. Should we expect it to maintain at that growth level going forward in the next two quarters? Or do we run in to kind of tougher comps? And I know some of the pricing stuff anniversaries.
Brad Smith: Yes, well, we do have some tougher comps in the second half. We feel good about our guidance for the full year, but I'll tell you, that momentum in that business continues to build. The product is very strong. The shift to Connected Services, so the move to online, and our Enterprise full-service plan as well as the Websites continues to ramp up. And so we're only seeing goodness right now, and we think you're going to continue to see strong results from Small Business in the back half of the year and heading into fiscal year '12.
Bryan Keane - Crédit Suisse AG: Actually, let me sneak one in for Neil. The funch in [ph] (0:29:49) tax credit, is that in both the third and fourth quarter, just divided equally?
R. Williams: Yes, it's in the third and fourth primarily, Bryan.
Operator: Our next question comes from Adam Holt of Morgan Stanley.
Jennifer Swanson: This is actually Jen Swanson calling in for Adam. I wanted to follow up a little bit more on the commentary around small businesses, and in particular, I feel like up until now you've been relatively hedged about the outlook for small businesses, and so the guidance doesn't assume any recovery there. I think this time, it sounded like you're a little more constructive on that. So first, just sort of an update on your thinking around what the small business environment could be like this year. And secondly, if you are starting to feel a little bit more confident around the data points emerging from small businesses, and certainly QuickBooks this quarter suggests there's reason to be. Why not take a more aggressive stance and potentially raise guidance around Small Business?
Brad Smith: Let me make sure I parse what you're hearing in terms of confidence into two pieces. You're hearing me and us feel very constructive about our teams' execution. That leadership team and those engineers are putting really good work into the products, and we're getting good results in the marketplace. In terms of the overall macro, we are seeing some subtle signs of improvement. If you look at the Small Business Employment Index, it's improved over the last six quarters. If you look at our charge volume per merchant, this is only the second quarter in 10 quarters we've seen it improve, but it has improved. And we are hearing some signs out there in the marketplace that banks are trying to lend more to small businesses. But that being said, we're not counting on any rapid recovery for Small Business in the macro. We're simply counting on our ability to execute, which is why you hear us giving the guidance that we're giving today.
Operator: Our next question comes from Peter Goldmacher of Cowen and Company.
Peter Goldmacher - Cowen and Company, LLC: I wanted to ask you a quick question about the QuickBooks Online business. I think we've seen about 50%-plus growth in units year-over-year. And I'd love to get a better sense of how you guys think about growing that Online business relative to the upfront Desktop business. So are you putting as much foot [ph] (0:32:18) as you can behind growing the Online business, or are you being a little bit more patient and a little bit more deliberate to kind of keep the model, the income statement going the right way and from varying too much? And second part of that question is deferred revenues were strong this quarter. What's primarily in deferred revenue?
Brad Smith: I'll take first part and I'll have Neil tag team on the second. On the first part, honestly, we're letting the market choose. I think over the past few years, we've either leaned one way or the other and we haven't gotten the maximum results. So now we let customers decide if they want to go online with QuickBooks Online, or if they want to use our desktop product and still have their data in the cloud and access it through mobile devices. And I think you see the natural adoption of online services continue. It’s five quarters of accelerating growth as you pointed out. So we do have advertising right now for QuickBooks Online on the television, which is building awareness. We, obviously, have it as one of the solutions you can choose on the website. But I think what you basically see is the market moving more towards Software-as-a-Service, and that's accelerating the growth in that space. But we certainly aren't pushing it one way or the other, but letting the market choose. And Neil, you can take the deferred revenue piece.
R. Williams: Peter, just to continue down that path, the deferred revenue account is up nicely, and it reflects that shift to Connected Services. But we're not solving for the income statement impact there. I mean, the more money we have in subscription services, the more predictability we get and the more we can forecast our revenue out in future quarters. The key things driving the growth there are increases in our Connected Services business, like QuickBooks Online, our Online Payroll offerings and many other applications that we have in Financial Services. Every product segment we have has a subscription-based offering, websites, et cetera. So the revenue that we collect and that we bill to those customers is driving the growth in our deferred revenue accounts.
Brad Smith: Does that help, Peter?
Peter Goldmacher - Cowen and Company, LLC: Yes, it does. But I would have thought that most of that would be monthly payments. Are you saying that people are paying a year at a time or a quarter at a time or six months at a time?
R. Williams: We have all of the above, Peter. But in some of our offerings, you sign up for an annual subscription and you pay an upfront fee, as well as an activity or transaction charge. So there's a significant portion of the revenue that's deferred from all those product categories, until pieces are delivered or until -- as long as we're providing support and maintenance to those services.
Operator: Our next question comes from Brad Sills of Barclays Capital.
Bradley Sills - Barclays Capital: Just a question on QuickBooks. Market share gapping up nicely this quarter back to historical levels. Can you just comment on -- at least on the retail channel? Can you just comment a little bit on what happened this quarter versus last quarter to change that dynamic?
Brad Smith: You may remember in the last quarter, we had a competitor who had run some pretty deep discounts in a couple of the retail chains. Discounts that we had actually tried a year ago, and we determined they weren't effective for not only driving unit growth but also maintaining profitability, so we chose not to do that. So what you saw is us growing over some aggressive discounting and backing off this year, and a competitor actually taking our last year playbook and giving the same thing a try. What you now saw on the second quarter is just more consistent execution in the market. We're using targeted discount, nothing super deep. And I think the natural marketplace returned to equilibrium, with us getting the 90%-plus share again.
Bradley Sills - Barclays Capital: And on Websites. Sounds like that continues to be a strong driver here. What would you attribute to the ongoing success there?
Brad Smith: A couple of things. One is one of the first things that small businesses need when they get started is the ability to be found so that they can have customers access them. So they want to get a website and get up and running. And I think you see that happening right now with our Websites. The other is we've been promoting the Websites. It's a great new front door for us to get people into the Intuit franchise. So we've been running ads and we've been promoting it online. And the neat thing about it, as you said, is not just the subscriber growth being up 32%, but it's been a wonderful front door for us to attach our Payments services. We're adding a large number of new Payments customers every month. So right now, it's all good, and as long as small businesses are getting started and still half of them don't have a website, we see that business continuing to grow over the long term.
Operator: Our next question comes from Walter Pritchard of Citigroup.
Walter Pritchard - Citigroup Inc: Just a question back on tax. I'm wondering if you've talked a bit about just -- you mentioned share gains and there's sort of three areas. You've got the share gains of the category, you've got web and you've got retail. Just wondering if you could shed a little bit more color on those areas?
Brad Smith: Yes, we'll have to watch the category gains over time. The IRS will report data at periodic times throughout the season in terms of the types of methodology. So our research is internal on the software category. But if you look over the last decade and you just think about the demographic shift, or some of the stuff that we were talking about earlier, people moving online, you will see that, that software category has grown at three to four times faster than any other method in the market for a decade. So we see that continuing. In terms of our share, retail is measured by NPD, an external third party, and they publish data. And you'll see that they suggest that we've actually picked up share in retail this year, the bigger gain’s online, on the web. And our data, corroborated with the external third-party sources that we subscribe to, suggest that we're also picking up share on the web. So that's the sources of the data, and that's how our outlook is right now in terms of how we're competing versus the other alternatives.
Walter Pritchard - Citigroup Inc: And then just a question on Small Business, around transaction volume. You cited there growth for -- sort of it's been rare over the last several years or a couple of years. Was that broad-based, and do you think that will continue? I mean, broad-based in terms of customer size and verticals and geos, and however else you may look at the customer base there.
Brad Smith: I'm sorry, Walter, I need you to just help me with the question again.
Walter Pritchard - Citigroup Inc: Just trying to understand if the transaction volume growth you saw in the Payments business was broad-based. If you saw strength across the entire customer base, was it uniform, or were there parts of the base -- you saw growth there for the first time in a little bit here. I'm just trying to get a sense if it's sustainable.
Brad Smith: We saw it as a broad-based improvement. Total charge volume was up about 10%. I think that's pretty consistent with some of the card processors you hear reporting their numbers. Quite frankly, our revenue was lagging a little bit, because we had an opportunity to pass through some interchange fees as a price increase that we didn't jump on right away. But net-net, merchant growth is healthy. Charge volume seems to be getting a little bit stronger and is consistent with what we're hearing from others as well, so we think it's starting to build more momentum now.
Operator: Our next question comes from Laura Lederman of William Blair.
Laura Lederman - William Blair & Company L.L.C.: Can you talk a little bit about Mint and how that intelligent functionality is being added to other products? And also talk a little bit about the Intuit Money Manager and maybe some plans outside of India. And final question, you hit on quickly the Websites, and the customers buying the other products in terms of -- but can you talk a little bit more broadly on are they also buying QuickBooks, just some more broadly on the upsell and the cross-sell of Websites? And also the other direction as well. Are other customers that are ready, Intuit customers buying Websites as well?
Brad Smith: So on Mint. That business continues to do well. We're adding subscribers at a record clip. We've doubled the number of people using the product versus this time last year, increasingly more adoption with mobile. And the things that we're doing with Mint, is they -- quite frankly, it's impacted many parts of our culture. You saw a new and improved Quicken this year because we took some of the best thinking from Mint and improved Quicken, and we've seen strong growth in Quicken. We've also begun to think differently about new revenue models, using what we call beyond user paid, which is how do we take some of the learning of Mint, where you have a free product and then have other services that are available to the customer that someone's willing to pay us for. And we're introducing that thinking across the company. The last thing I meant is we took Mint to Canada, and it's the first global expansion of the product, and it is doing equally well in Canada in terms of a run rate as it was doing in the U.S. And so that gives us a nice outlook for what Mint could be capable of doing beyond Canada and the U.S. So I'll put a bow around Mint to say things are looking good. The core product's performing, and they're also introducing new concepts for other products. Intuit Money Manager, as you may remember, it's a Mint-like or a Quicken Online-like product that we built in India for India, and we're currently selling it through Moneycontrol, which is a finance portal. We also introduced it about four weeks ago through ICICI, which is one of the largest banks in India. And it has been adding tens of thousands of customers over the last three to four weeks. Our plans for going beyond India at this point are not anything that we've communicated, because we want to make sure that we can sustain the kind of progress we've seen in India. And if that continues, then we'll look to see if there are other countries that we can potentially introduce that product to. But right now, we still have a lot of learning ahead of us, and we want to make sure we've got something that's really compelling for the long term. The last is Websites, and honestly, what we've done is we've tried to narrow the focus of the team to do two things: continue to deliver and get more subscribers to come in on a great website experience; and the second is to then attach the next most logical product, which is Payments. So we aren't doing a lot of attach to QuickBooks. We're not trying to introduce Payroll and lots of other services right now, because we think there's so much opportunity in staying laser-focused on getting more subscribers and, once you get a customer, actually getting paid for our Payments service. So that's been our focus right now. We do think there's other things that, that front door can introduce over time. So hopefully that covered all three of your questions.
Operator: Our next question comes from Scott Schneeberger of Oppenheimer.
Scott Schneeberger - Oppenheimer & Co. Inc.: I have a bunch of tax questions, but I'd like to start. Could you guys take us a little deeper on not passing through the interchange fees? Just what the dynamic was and how you're going to clean that up?
Brad Smith: Scott, it honestly came down to execution. MasterCard had passed through some interchange fees a while back. We made a conscious decision for the first quarter not to pass them through, because we wanted to see improvement in the economy and make sure that the customers felt good about the value prop. We then implemented the actual fee, and we built it into the workflow and we missed a few opportunities. And so at the end of the day, customers who should have and could have been paying, the price that they should have been paying just didn't get it. So we now have isolated the opportunity. We're going back in. And you'll see us be taking advantage of that and passing through the fees as we should have and could have. And we think you'll see that filter through the balance of the year.
Scott Schneeberger - Oppenheimer & Co. Inc.: Now hopping over to tax. From what I understand from the commentary thus far, you're expecting a few points of price on top of volume to get to you revenue growth number this year. Care to add on to that and give us any degree of magnitude, just because it's a little tough to tell with the numbers at this point of the year.
Brad Smith: I know it is, Scott, and I don't want to suggest that it comes from price. What we are getting is each year, we're getting better at improving our revenue per tax filer in a couple of ways. We're getting smarter about converting free customers to paid customers. We're also getting a more favorable mix, as it becomes clear to the tax filer which product offering is right for them. Ad so we see them selecting sometimes the right product for them that may be further up the food chain in terms of a price. And I think, overall, that's what you're seeing happening in terms of increasing our revenue per tax filer. It's still a competitive market out there. We've got good prices relative to the competition. But we're getting favorable breaks in terms of mix, and we're just better executing in terms of free-to-paid conversion.
Scott Schneeberger - Oppenheimer & Co. Inc.: On SnapTax, I understand -- I think you guys have said enough on the market share commentary with regard to TurboTax. With SnapTax, is that material now? Could you talk to how many of those with for the iPhone and the smartphone you've done? And who is that eating into? Who is that taking share from when you grab units there?
Brad Smith: I would tell you, Scott -- first of all, we are very excited about SnapTax hot out of the gates. Over half a million people downloaded the app. That obviously is an opportunity for us to continue to build on. We think that where they're coming from, first, is they're new to the franchise. They're first-time tax filers. And the second is those that may have been filing were typically using a free product, because it tends to be who attracts -- the EZ-filers tend to come in on a free product, which is a good niche for us. Because when you actually use SnapTax, you use the app for free, and then if you want to e-file it, you pay roughly $15. So we think that this is an exciting product for us. It's introducing new people to tax software who haven't used it before. Where it's helping do better free-to-paid conversion, and we'll see over time at the end of the season how it all plays out.
Scott Schneeberger - Oppenheimer & Co. Inc.: With regard to your RT, could you just speak to attach rates? And if you don't want to quantify too much, can you just give us a feel for magnitude year-over-year thus far? It's just because I think that's an interesting play, given the start of the tax season.
Brad Smith: Scott, we don't break out the attach in the mix. I will say that RT continues to be a value proposition that our customers like. And we continue to make that a part of our offering, and the customers who want to take advantage of it are. And I think at the end of the day, that's just part of the guidance that we've provided in terms of our outlook for the season. But I appreciate the question.
Operator: Our next question comes from Ross MacMillan of Jefferies.
Ross MacMillan - Jefferies & Company, Inc.: Brad, I'm just curious. Were you at all surprised that the unit growth was as it was through end January, given that your offering allowed the filer to file regardless of where the IRS was?
Brad Smith: Well, Ross, I think what caught us all off guard was just how much confusion there was in terms of people understanding whether they were or they weren't supposed to file. So we got proactive. You saw a lot of press releases coming out from us saying, "You don't have to wait. You can actually file and we'll take care of it, and we'll queue it up. And when IRS is ready, we'll send it to them." But the more surveys we did, the more customers we talked to, there was quite frankly just confusion. So yes, we were surprised that the market was frozen as much as it was in the early part of the season. And we're not surprised now that, as it's starting to clear and the IRS has communicated that they're open for business, that we're starting to see the ramp-up that we expected.
Ross MacMillan - Jefferies & Company, Inc.: And then I had a couple of follow-ups. Just on the Other Business, and I mention this because whether it was a big sort of surprise last year, and now that we're getting into tougher compares, I was just curious as to kind of get your sense for -- I mean, have we worked through, for example, all the transitions of the Microsoft customers? Is there anything else in there that we should be thinking about as we think about modeling growth for the back end of the year?
R. Williams: Yes, Ross, I think we probably have -- our view is we've worked through those type conversions from the Microsoft and from other people in the marketplace. And so we're kind of thinking about execution of our plans, building out the market and additional product offerings in that category. So I don't think there's much else inorganic to factor in at this point.
Ross MacMillan - Jefferies & Company, Inc.: But you still are confident in your revenue range for that segment for the year?
R. Williams: Yes, we are.
Ross MacMillan - Jefferies & Company, Inc.: I want to just get an update. You've talked about, at your Analyst Day, the payment network over the ACA service, what's the timeline on that? Could you just remind us of where we stand there?
Brad Smith: Yes, Ross. We're in market today. So this year, for customers who are buying QuickBooks 2011, they have the ability to leverage the Intuit PaymentNetwork. And we're actually seeing a good uptake on that. It won't be material in the near term, but we hope that we can continue to refine the value proposition and show customers the benefit of just sending an electronic invoice and then having a customer just pay them electronically back. So right now, it is in market with QuickBooks 2011. And right now, all systems are go and we like the results we're seeing so far, but it's very early days.
Operator: Our next question comes from Stephanie Withers of Goldman Sachs.
Stephanie Withers - Goldman Sachs Group Inc.: I wonder if you could talk a little bit about mobility in general. So you're highlighting a number of products here, GoPayment, SnapTax, some of your mobile banking solutions. And so you're clearly thinking a lot about addressing this enormous opportunity from the proliferation of mobile devices. Can you help us understand how you monetize these products, if any of them are actually stand-alone products that customers pay for? Or is it just more about having a better product competitively and getting it out into the hands of more people?
Brad Smith: Stephanie, first of all, it's clearly a trend that everyone is embracing, and we need to make sure that we understand it's not a phone anymore. It's a computer in the palm of a hand, whether it's an iPad or a tablet or it's an iPhone or an Android phone. And so we need to make sure that we're able to help the customers solve the problems with the solutions we have through whatever device they want to use. So that's why you hear us talking about this. We have all kinds of different models, depending upon what kind of service we offer. For example, with QuickBooks this year, you can buy Connected Services, and you can get access to some of your key information through your mobile device by buying the QuickBooks product. In SnapTax, you can download the app for free, actually do your calculations by taking a picture of your W-2 and answering a couple of questions. And then if you choose to e-file it, you pay $14.99 or $15. And then we have other, like mobile banking where it's a transaction or per usage fee. So it really comes down to the kind of offering that we have. And we are monetizing many of our mobile offerings today. In some cases, they're just natural extensions of one of our other products, where the customer paid for a product and we're offering this as a [indiscernible] (0:51:38) added service. We're going to learn more and continue to get smarter as this becomes more a reality across all of our businesses.
Stephanie Withers - Goldman Sachs Group Inc.: Lastly, just on M&A. You've done some really interesting deals over the past couple of years. We've all been reading in the press about a lot of private company valuations. So are you seeing valuations in the private market change? Is it more competitive? What's the uptake there?
Brad Smith: It's interesting. I think it comes down to who you're talking to in terms of the target. We typically try to go after the top talent and the top technology, and so even in the depths of the recession, we didn't have anybody that was willing to sell their companies for a low price. So the valuations out there, I think, are all relative. And I certainly would tell you that there's lots of very neat companies in the market that are getting some traction and getting a lot of attention. And we simply want to make sure that it strategically accelerates our big game plan. And then, if it makes sense for us and our shareholders, we'll make an acquisition. But right now, the overall valuations in the market are, I think, representative of the quality of the companies you see getting started.
Operator: Our next question comes from Kash Rangan of Merrill Lynch.
Kash Rangan - BofA Merrill Lynch: I'm just curious, Brad. You obviously sound pretty confident about the Consumer Tax business, that the category continues to grow and you gain share. And let's say, hypothetically, you come in above your guidance, would you let that incremental revenue upside flow through the bottom line? Or do you and Neil and the management team have plans to plow your revenue upside into additional investments that could lead to re-acceleration of some of the other businesses for next year?
Brad Smith: If we deliver above the guidance, we'll have to deal with that decision when we get there. We've got investment opportunities now, but quite frankly we produce quite a strong cash flow, and we're able to make those decisions along the year. And at the end of the year, once we actually see how everything tallies up, then we'll certainly make the right decision. But right now, I just want to make sure our team stays focused on delivering in the guidance range that we've provided to you and to the rest of The Street.
Kash Rangan - BofA Merrill Lynch: And also on the Financial Services side. Revenues have been within a range, really over the last few quarters, $80 million to $85 million. You've seen some okay growth, but really stuck within the range. And Neil, I think, talked about some initiatives to really get growth going in the second half of the fiscal year. I'm just wondering if there is any more detail you could share with us strategically? How you've gone about fixing this business for the long term. Any new initiatives that could reactivate growth here?
Brad Smith: There's three key levers in that business. One is acquiring more financial institutions, because what you get with that is contracted end users, how many potential end users can you market Online Banking and Bill Pay and other services to. We actually had a contract bank that's moved from the second quarter into the back half of the year. I think you're going to see contracted end users continue to pick up steam in the second half. Then you get into the adoption of Online Banking and Bill Pay. And today, of all the banks that we have, only 25% of their customers are using Online Banking and 15% are using Bill Pay. That's why you see very healthy growth as our teams have gotten in there and made the experience a lot easier. So we grow Internet Banking 10% this quarter and Bill Pay, 23%. That is tremendous leverage for this business. And then the third is to introduce additional services. And we had rolled out Personal Finance Works, and that continues to do well. Last year, we had TurboTax Online Banking, which did a nice pop. And this year, it's already available to 13% more end users. And then the last is mobile banking, it's taking off like wildfire. So those are the three key levers. You'll see contracted end users continue to grow, you'll see us continue to get better at driving adoption of Online Banking and Bill Pay and we'll be introducing additional services like mobile banking. And that's why you heard the confidence from Neil and me that we think this business has the potential to be double-digit growth. We just have to continue to execute.
Kash Rangan - BofA Merrill Lynch: So you're seeing the leading indicators perk up very nicely. So how far are we from an inflection point towards going into double-digit growth? If you could give us even a range, I'm not going to hold you to a number, but a range of number of quarters, whatnot. That would be useful.
R. Williams: Well, Kash, we think you'll see an improving trend later this year in the next couple of quarters and in our guidance going into the next year. You ought to see those increased users and you ought to see the additional services that Brad mentioned reflect in the revenue.
Operator: Our next question comes from Brendan Barnicle of Pacific Crest Securities.
Brendan Barnicle - Pacific Crest: A couple of follow-ups on the Small Business strength. In the QuickBooks Online, you had that great subscriber growth again. Do you have a total subscriber number or percentage of install base that you've moved over to Online now?
Brad Smith: About 240,000, I think, is the total online subscribers. And that continues to build. In terms of the number of people coming over, about 70% of QuickBooks Online are actually new to the franchise, and the other 30% have actually moved over from an existing QuickBooks product. And there's an interesting little subplot to that, because we often track QuickBooks units. And as you know, an average customer will upgrade in QuickBooks once every three years, at an average price of, call it $190 to $200. With QuickBooks Online, you may not have that unit show up every year, but you actually have a subscription service at $24.95 a month, and they stay with you over multiple years. And so that's a win for us, even if some of the customers from Desktop move over to Online. Because we have other services like Online Payroll that they can buy as well. So we've got a good ecosystem for Online just like we do for Desktop.
Brendan Barnicle - Pacific Crest: And I wanted to follow up on the GoPayment. You saw a nice increase in merchant accounts or volumes there. Does GoPayment impact that at all? And who do you see as your sort of competition in that GoPayment category?
Brad Smith: Yes, it does impact the increase in merchants. And in terms of competition, there's quite a few mobile payments products out there today. Some of them are being written up in blogs and in newspapers, and some others are lesser-known. And really, our competition is helping people start to accept payments through a mobile phone that aren't doing today. We view that as the competition. It's the inertia of the customer, not necessarily the names that we're reading in all these articles. And that's where we're laser focused, on how to make it easy for the customer to adopt this service.
Brendan Barnicle - Pacific Crest: Just going back to follow up on the merchant growth there. Was GoPayment material to that growth? I mean, if you've backed out of the GoPayment, what would that merchant account business have grown on at all? Is it big enough you can do that?
Brad Smith: We haven't really done the math that way, and so I would not want to toss a number out and then have you be confused by the number later as we adjust it. So let's just say that it is contributing, and what we do know is since we introduced this new value prop, of the free card swiper and the no monthly fee, that we've tripled the daily subscriptions. And so we're excited about the future of this product.
Operator: Our next question comes from Michael Millman of Millman Research.
Michael Millman - Millman Research Associates: I have several questions, primarily tax. Could you tell us, on the SnapTax, what the conversion rate was or is, and how many of those ended up in your tax numbers that you just reported?
Brad Smith: Yes, Michael, it's still too early to tell. We can tell you how many people downloaded, which I referred to a few minutes ago, and it continues to increase big numbers every day. We'll have to watch conversion throughout tax season and we'll know at the end of the year.
Michael Millman - Millman Research Associates: Were any of the conversions that you had -- did they show up in your season-to-date tax numbers?
Brad Smith: Yes, absolutely. They did.
Michael Millman - Millman Research Associates: Can we get a rough estimate? Are we talking 5%, 90%?
Brad Smith: No.
Michael Millman - Millman Research Associates: Somewhere in between?
Brad Smith: I can't do that for you as much as I love you.
Michael Millman - Millman Research Associates: Could you give us the breakdown, if you haven't already, between returns through January 31 and February 1 to 12?
Brad Smith: Michael, I'm going to give a shot at this, but I'm going to tell you, just sit down with a pencil, because this has got some moving parts. The reason being is there was an extra day up till January 31 last year versus this year. So last year through January 31 to this year through January 31, our number of tax filers were down 5% in total. If you adjust for the extra day and you normalize it, that's what's on the fact sheet, which is actually up a couple of percentage points this year. What matters is what's happened from February 1 to February 12, where total units have grown 11% and Online's grown 16%. So forget all the funky math of an extra day up to January 31 or not, what it basically says is we've got out of the gate slow, and now we're moving into hyper speed, and we've got some extra days at the end of April because it's been pushed out to April 18 this year. And so that's why we feel that our guidance for 10% to 13% is doable for this tax season.
Michael Millman - Millman Research Associates: The extra day showed up in this year's February numbers?
Brad Smith: The extra day was last year.
Michael Millman - Millman Research Associates: And that was in the January numbers. But you report on a day-over-day basis, not a date-to-date basis?
Brad Smith: So the fact sheet will show it's been normalized for the extra day. And that's the number that I'd probably would ask you to refer to, because we'll get confused if we try to explain it. I think the macro math is the most important. And the macro math is whether it's down 5% without an extra day or up 1% or 2% with the day adjusted through January 31. It's what happened since and what we think is going to happen in the balance of the season that really matters, and that is we are moving at double-digit growth now, and that's the kind of range we expect as we move to the balance of the year. I know it's confusing. Believe me, we've taken all kinds of time to try to adjust for everything that we can see, and that's about as clear as we can explain it.
Michael Millman - Millman Research Associates: So this will sort of flow out by next month, I guess, is bottom line of that? And can you talk about -- particularly the Schedule C problem that a lot of preparers are seeing. Is this even a greater concern, I guess a fraud concern, online?
Brad Smith: Michael, honestly, I don't have a lot of details on the Schedule C filing challenges. So we can follow up with you offline on that.
Michael Millman - Millman Research Associates: Broadly, are you seeing fraud problems?
Brad Smith: We have heard nothing to that effect through our client base, on the accountant professional side or on the consumer side.
Operator: Our next question comes from Gil Luria of Wedbush Securities.
Nick Setyan - Wedbush Securities Inc.: This is Nick Setyan for Gil. Just a quick question on Payments regulation. How do you see -- there have been an interchange regulation impacting your Payments business?
R. Williams: This is Neil. Clearly, it's something we've got to watch out and we're thinking a lot about and doing some planning for the summer. But the debit business is about 20% of our total, and only about 10% of our overall revenue in payments. So it's going to have an impact, we have to watch carefully, but it's not going to be a huge impact for our Payments business is the assessment we have right now.
Operator: Our next question comes from Yun Kim of Gleacher & Company.
Yun Kim - Gleacher & Company, Inc.: So can you just talk about the accelerating growth coming out of your QuickBooks Enterprise Solutions business? What is driving that growth and how are you marketing that product to the marketplace? We just haven't heard too much about that. It's been showing pretty strong growth. And also something like what percentage of your Enterprise customers are upgrades from traditional QuickBooks install base, and is there any margin profile difference between Enterprise versus the core QuickBooks business?
Brad Smith: We're very proud of that product, and it grew its units 24% in this past quarter. The answer to your question is about 70% of those customers are stretchers. They've outgrown QuickBooks Pro or Premier and they move up the line. And 30% are switchers who've decided that they get equal to, or better than, a value proposition at about a third the price to the other competitors in the market. And so they're converting over from other mid-market ERP or software solutions. And we think that value proposition continues to resonate well, and we continue to see that business growing at the clip that you've been seeing for the last several quarters.
Yun Kim - Gleacher & Company, Inc.: And is the margin profile for that business similar to the core QuickBooks business?
Brad Smith: You know it's basically using the same code with some additional functionality. And its price is much higher, so it's a very healthy margin product for us.
Yun Kim - Gleacher & Company, Inc.: And then on the tax side. I know this will be very small, but looking more long-term, was there any cross-promotion of your TurboTax product to the Mint.com install base? And if there was, how successful was that?
Brad Smith: Yes, there has been cross-promotion of TurboTax.com to Mint as well as to Quicken. The results are being reflected in our Other category right now. I think what you've seen in terms of the delay on the tax filing, on the TurboTax side, is also having some impact on the Quicken and the Mint products. But so far, the customers like the integration, and we think it's another additional way to help customers get some of their problems solved by using more than one of our products.
Operator: And gentlemen, our last question comes from Brent Thill of UBS.
Brent Thill - UBS Investment Bank: On the QuickBooks Online acceleration, Brad, you mentioned 70% of the units are new. I guess, out of the gate, are you seeing multiple products being taken by customers? I mean, it just seems like the online component gives you a greater ability to cross-market the other services, maybe to check out or right after they bought some. Are you seeing a much higher attach rate right out of the gate than you have historically seen just selling QuickBooks.
Brad Smith: You know the interest thing, Brent, as you said, is when you move into the SaaS world, you can sell products stand-alone or you can sell them in bundles, or you can make it easier to unlock a product in the workflow. QuickBooks Online has a good, better, best lineup, and one of those lineups includes Payroll service. And we're seeing a good uptick, right out of the gate, of customers wanting online accounting and payroll in a bundle. And so that's part of the mix and part of the favorability you're seeing in our overall revenue per customer. We also agree with you that by building that into the workflow, if they just buy the stand-alone accounting, we should have more opportunity to attach additional services, and we're really laser focused on that. So the bundles right now are working well, as well as our ability to sell additional services if they buy something stand-alone.
Operator: And gentlemen, did you have any closing or additional remarks?
Brad Smith: Yes, Latif. Thank you. I want to thank everybody for joining us today. I also want to acknowledge that we know there's a lot of moving parts with this tax season. Appreciate the questions. Hopefully we were able to clarify the major points, and look forward to connecting with you offline if there's any other questions that we can answer. And I just want to wrap up by thanking our employees again for another strong quarter. And we're looking forward to speaking to you all in the next quarter. Take care, and have a great day.
Operator: Well, ladies and gentlemen, thank you for your participation. This concludes today's conference call.